Suzanne Ennis: Good morning, and welcome to Hut 8's Full Year 2025 Financial Results Conference Call. Joining us today are our CEO, Asher Genoot; and our CFO, Sean Glennan. Following the presentation, we will open the line for questions. This event is being recorded, and a transcript will be made available on our website. In addition to the press release issued earlier today, our full annual report on Form 10-K is available at hut8.com, on our EDGAR profile at sec.gov, and on our SEDAR+ profile at sedarplus.ca. Unless otherwise indicated, all figures discussed today are in U.S. dollars. Certain statements made during this call may constitute forward-looking statements within the meaning of applicable securities laws. These statements reflect current expectations and are subject to risks and uncertainties that could cause actual results to differ materially. Certain key risks are detailed in our Form 10-K for the year ended December 31, 2025, and our other continuous disclosure documents. Except as required by law, we assume no obligation to update or revise any forward-looking statements. During the call, management may reference non-GAAP measures such as adjusted EBITDA. We believe these metrics alongside GAAP results provide valuable insight into our performance. Reconciliations of GAAP and non-GAAP results are included in the tables accompanying today's press release available on our website. We will begin with a moderated Q&A session with our CEO, Asher Genoot, followed by a detailed financial review from our CFO, Sean Glennan. Okay, everyone. So let's get started. So to start Asher, fiscal 2025 was a big year for Hut 8. We executed on several important milestones, including the carve-out of our legacy Bitcoin mining business and the execution of our first AI data-center transaction. So what were the guiding principles that enabled us to achieve these outcomes in your mind in 2025?
Asher Genoot: 2025 was about rebuilding Honey around capital efficiency and durable cash flow. So 2 years ago, we rebuilt the company from a first principles approach after our merger with Hut 8 and going public. And everything started with the electron. We chase megawatts, not chips, and we want to control the power layer first. And so we don't view electrons as a commodity, but rather strategic assets, and the ABC carve-out shifted us from cyclical CapEx exposure to contracted infrastructure like cash flow. So that was a big theme of last year. We also reallocated capital from volatility to long-duration agreements, and with ABC being able to self-fund on itself on the mining and Hut 8 providing the infrastructure. And then River Bend validated that model. We had a true greenfield development. We didn't convert a site. We developed the site from the ground up by a power-first thinking. It was really the first domino to fall under an AI infrastructure platform. And we focus only on what compounds, power control, scalable campuses, disciplined capital structure and repeatable execution. And so 2025 was about building the right foundation, and now we compound and we scale going into 2026.
Suzanne Ennis: In your mind, what specific operational and strategic milestones were prerequisites before the business could meaningfully accelerate?
Asher Genoot: 2024, as I shared a little earlier, was about restructuring. We started a company, we merged with Hut 8, and then I took over shortly after. And it was restructuring the business and creating the ability for us to create a foundation. 2025 was about building credibility and so credibility started with our shareholders. In 2024, when I took over the helm, our institutional ownership was sub-10%. We're at approximately 70% today. And some of our earliest shareholders, who invested in us when we started the company 5 years ago, still hold a large percentage of the stock. There's -- we've given shareholders, disciplined capital allocation that they've seen through us in the years and with us in the public markets. And then honestly, transparent execution, we told people what we were going to do, and we focus on getting that done and delivering a fully built solution when we execute, and we intend to do the same. We built credibility with team members. We scaled intentionally. We institutionalized processes while maintaining an entrepreneurial speed. I think that's critical. As you grow, you naturally build bureaucracy, and having the mindset to say, you know what, we will continue to operate as a lean culture, even as we build an institutionalized process. I spent a lot of my time thinking about that in terms of how do we scale at the same rate that we have historically. Credibility with financing partners is really important for us to secure Tier 1 lenders with JPMorgan, Goldman Sachs to lock in nonrecourse project financing. It was harder, but we believe it's the better path. And we believe early investors in us like Coatue, they backed us before the theme was a consensus. And I'm glad that they're happy, right? I meaningfully spoke on a panel the other week, and I'm glad that we're able to drive a good return on their investments. And lastly, credibility with our partners. That's local partners, for example, at River Bend with Entergy, Louisiana, West Feliciana Parish, the Governor's office and being able to deliver on them and our commitments to them when they took a bet on us. And so acceleration only happens when credibility is on, and we would like to compound on that as the years go by.
Suzanne Ennis: So you were under a lot of pressure last year to talk about a deal and guide the market to when it would come, what it would look like, but we kept our cards very close to our chest. So can you talk about why we were patient in what we wanted to see come together first?
Asher Genoot: So I'll separate my role in speaking to the public markets and our shareholders, and my role in running the operating business and making sure we're able to build that over the long term. In my role in the public markets, I knew what shareholders wanted. They wanted a deal. They want to know that we can build the data center infrastructure platform, and they wanted to see what that would look like and to build the first domino as a part of the platform. For the business itself, we weren't waiting to announce a deal. We were really building a fully locked and executable program. And so for us, we didn't feel like there was a reason to add public market complexity, while negotiating a super complex structure with a lot of moving pieces. We didn't want to just announce a headline. We wanted a complete financeable program. We wanted demand secured, financing secured, execution partners aligned on construction, delivery, engineering, long lead time items. We wanted our power path defined, and we wanted risk allocated properly across counterparties. So instead of guiding towards a deal that's coming, which everyone knew we were working hard at, we optimized for building the right structure for the company in the long term. And when everything was negotiated and aligned, we announced the full framework in one step. And I think that discipline hopefully reinforces the credibility that we're building with our shareholder base. And as we move forward, we're going to be really thoughtful about what we share with the market versus how we think about those impacts to our customers as well.
Suzanne Ennis: So our first AI data center transaction generated significant market attention. And how should investors think about this transaction in the context of our broader strategic evolution without over-indexing on a single data point?
Asher Genoot: I think this is a fair market deal. It was designed to compound relationships and not to maximize one transaction. And so we structured that market clearing economics. A lot of private deals are getting done, we believe, are done in a similar range. We focus on long-term creditworthy counterparties that can grow with us. And we built to scale the program beyond just the first phase across our customers and across our financing counterparties, execution partners, supply chain partners. And so it took a very customer-centric approach on how do we de-risk execute and give them confidence, we're not optimizing for headlines. We're trying to build repeatable partnerships because that's going to be the secret sauce in our ability to grow and scale.
Suzanne Ennis: So let's drill down into River Bend, then. As we look at River Bend even more holistically as well, can you update us on the progress of some of those power expansion discussions with Entergy? And how is construction tracking?
Asher Genoot: Look, 2026 is 1,000% going to be about execution and delivery. That's going to be the theme of the market, in my opinion. And so we're super high for its construction right now, it's tracking according to plan. We have tight coordination with Jacobs Engineering and Vertiv. Long lead time procurement is progressing and getting manufacturing delivered. Our customer engagement is really, really high with Fluidstack and Anthropic. We have many working sessions a week, multiple standups on-site in their offices, and really strong collaboration as we move towards delivery. The 1 gigawatt expansion plan at River Bend, the power is there. It's not about if, it's about when. And so now, we're optimizing on delivery time lines and cost scenarios in terms of collateral upfront to make sure the rate base doesn't get impacted. We're working through different structuring paths to maximize efficiency and speed, meanwhile solving for what we're looking for and also what Entergy is trying to solve for, for their constituents. And so the focus now is simple: execute, deliver and derisk.
Suzanne Ennis: So how should investors think about long-term expansion opportunity at some of our other sites like Corpus Christi? Obviously, we've been seeing an uptick in pushback with respect to data centers getting done. We've seen new rules proposed out of ERCOT. How should investors think about the expansion?
Asher Genoot: Something I've been saying for years is we're building an energy infrastructure platform on digital infrastructure. Our edge is power-first development. And oftentimes in markets that others overlook, and so our Corpus Christi site that we announced, we have an approved interconnect in ERCOT that's increasingly valuable. And it was put in before all of these recent changes in batch studies. It was put in 2023, in a changing regulatory environment, permitted power and transmission access matter more than ever. The interconnect and the permitting matrix at Corpus Christi, I think, gives us a structural advantage to be able to build quickly and get an access to power quickly. So if we were using the traditional developer playbook, we wouldn't have a low redundant data center solution for Bitcoin security as our tool for our underwriting assets. And we probably would have passed on this 1 gigawatt interconnect like many others did, but we didn't because we have multiple use cases of our megawatts as we develop the platform. It's really similar to what happened about 1.5 years ago in Louisiana. When we first talked about the site, started marketing the site, people thought we were crazy. I thought we were early, and I think, we were right. We really validated the thesis of what we believe in terms of the value and the assets in the power and how much you can get at scale in the local regulatory environments that you're building this infrastructure at. And now you see that in Louisiana, you have other hyperscalers like Meta and AWS that I have announced projects there as well. And I don't want the market to forget that alongside our River Bend announcement, we also announced a strategic partnership with Anthropic. And so they're a partner that we continue to look at opportunities with alongside other demand signals that we've built along the last 2 years as well. And so if you look at our development pipeline, we have 8.5 gigawatts across various stages of development. We are energy developers first. We understand grid dynamics, regulatory shifts and permitting realities. And that's what gives us confidence that we can navigate the evolving environments. It's a lot easier to go and build a large-scale data center with the dollars that we're bringing into these economies than it was developing Bitcoin mining facilities when no one wanted Bitcoin in their neighborhoods. And so we've navigated through different environments. We've gone through changing ERCOT procedures. We've done this for the last 5 years since we started the business. And this is just another hurdle that comes along the way as demand continues to increase and we need to continue to show our competitive edge in developing power assets.
Suzanne Ennis: So you often referenced first principles and value engineering and innovation as a core edge for Hut. Can you walk us through how Vega delivering 180 kilowatts direct liquid-to-chip at $455,000 per megawatt from scratch and our codeveloped infrastructure design with Vertiv that we're using at River Bend. How do those two things reflect that philosophy and effectively position us for the future?
Asher Genoot: We think that no one has fundamentally challenged, how data center infrastructure, I guess, now AI infrastructure is built. And that's our opportunity. We reject the status quo. In the short term, there's a huge supply and demand imbalance that allows us to get deals done from a power perspective, and that's our competitive moat. In the medium term, the differentiation will come from value engineering and the infrastructure stack innovation as supply and demand reach equilibrium. And so Vega is a great example, too, because Vega, we developed 180 kilowatts per rack direct-to chip cooling technology earlier last year when NVIDIA was only at 120 kilowatts per rack. And the reason we did it was to show the markets we could develop that type of infrastructure as you see on the screen here, but most importantly, we were able to develop that for $455,000 per megawatt. And I'd like to tell customers when we show them the site that, that includes the office furniture, the whiteboards and everything and the fit out in the data center. And the reason we were able to do that is because we built the site from a grass field from scratch. There were no legacy constraints. We figured out what areas of the infrastructure stack switch gears, PDUs, the rack conveying structure that we want to vertically integrate, design ourselves and contract manufacturer, what areas of the construction we want to self-perform and manage ourselves? And that's what I'm really excited for. Once we can get the next couple of deals done and we get to a large multi-gigawatt platform in terms of data center, how do we think about the next phase of our competitive moat. And that's around innovation and that's around value engineering. The Vertiv partnership is a good example of our early kind of stages into that. We codesigned the approach, the architecture with them and with Jacobs to show not only supply chain visibility, but how do we take risk off of the site how do we speed the efficiencies of these development, these builds, so we can have them in controlled environments for a lot of the infrastructure that we're building and how do we have long lead time mitigation risk. I had the opportunity to keynote Vertiv's main event earlier in January this year, because we believe that that's where the edge will live in the second phase, as we monetize the power assets in our pipeline in this first phase. And so when demand and supply normalize, infrastructure efficiency will matter more and more, and I think, we're perfectly positioned for that, and it's a story and a theme that people haven't really even delving under the Hut today.
Suzanne Ennis: So we're executing on large and complex infrastructure projects that require significant capital and coordination. And obviously, with that kind of scale comes risk. How are we structurally mitigating down that exposure and protecting equity if things don't go according to plan? And how is your experience, how you got here and how you think about things like this? You talk a lot about being a credit guy. Can you elaborate on that?
Asher Genoot: So I actually don't talk a lot about being a credit guy. Sean talks a lot about me being a credit guy. He's like, for your age, you're really more of a credit guy than anything else when we talk about underwriting these sites. And I think, the stars that I've gained from living in kind of the business and building infrastructure around Bitcoin has really rooted us in how we think about underwriting opportunities, how we think about building the business long term. We lived through cycles, for example, in 2022, where Bitcoin prices crashes, our only revenue; energy prices skyrocketed, because Russia attacked Ukraine and profits were squeezed and we had fixed debt and amortization payments. I sat as a chair at UCC committees of companies going through restructuring and bankruptcy. We were the planned sponsor of taking Celsius out of -- taking a business segment they had out of bankruptcy and turning into a company. So I learned firsthand meeting with creditors on what could go wrong when you're building in a hypergrowth environment and the music stops thing. And so that sticks with me honestly, forever. And so as we think about these projects, what I always told the team is, if we have the privilege to sign a data center deal, that contract is a liability until we deliver and start generating cash flow, and that's why we're so thoughtful in how we structured this deal. We didn't just want to announce a deal and then figure out the rest afterwards. We want to announce a deal that was able to have financing, execution, manual labor, steel for the buildings, long lead-time items, regulatory permitting, all secured when we announced it to the market. And that was a key part of the timing and the things we want to get done. And so as we think about debt obligations, construction risk, power risk delivery, counterparty risks, those were all the things that we've mitigated through on long lead time contracted cash flows, creditworthy counterparties, structuring nonrecourse financing and really disciplined underwriting as we look at kind of the T's and C's of how we thought about the overall risk framework between us and our counterparties and what we were committing and what we were all receiving. I think durable credit really compounds. If you want to build a business over the long term, it's about compounding value over time and about continuously doing that. And I feel like over the last 2 years, we've done that, and we've already seen the rewards of those actions, and we're really just getting started. Another element that I'd like to note is if you look at our balance sheet, I think we have one of the cleanest balance sheets in the market today. We -- if you think about the debt structure that we have, we have three pieces of paper at the parent level. The first is our Coatue convertible note that we did almost 2 years ago. That's heavily in the money and most likely gets converted out this year. That's the only parent recourse piece of debt we have. The other 2 pieces that we have is 1 coin base, which is recoursed against the Bitcoin only without parent resource, and the next one is the one we have with NextEra at King Mountain, which is recoursed against our equity stake in that 50% JV on the Bitcoin mining facility and does not have parent recourse. And so as we really think about it with Coatue heavily in the money, we have no recourse debt on our balance sheet. We're bringing on great financing in terms of the projects, but as we think about growth, we're thinking about growth in credit really, really well to manage through kind of these markets and hopefully be able to grow at a faster and faster rate.
Suzanne Ennis: So Sean is going to walk us through our results shortly. We're going to do a little Q&A with him. But let's touch on a few areas in our results. G&A, for example, what drove that this year.
Asher Genoot: Stock-based compensation aligns everyone with the long-term and long-term value creation. So at the company, every single person has equity from our site-level team members to the CEO, myself and the CFO, Sean. So real ownership culture and skin in the game is something we've optimized from day 1 and continue to do so even in the public nature that we have. And so total G&A was about $122.8 million this fiscal year compared to $72.9 million. Stock-based comp was around $57.8 million versus $20.8 million in the year prior. And that has to do with a lot of the upscaling that we had in the investment in our engineering, development, institutional infrastructure team. The cash SG&A only rose from $52 million to about $65 million in the year, and that includes all of those transactions we did from the carve-out of American Bitcoin to the deals that we've done. And so our belief is that we're building the team and investing in the team for the future financial profile of where we're going, a lot of the dollars we're spending are on growth, not on managing the current business, not on even executing River Bend, on the growth of all of the sites that we're looking to execute and commercialize. And we don't believe you can scale a multi-gigawatt infrastructure platform without building and training that team in advance. And so we're rightsizing for where we believe the company is going.
Suzanne Ennis: So before we wrap up with you and move on to Sean, is there anything we haven't covered that you want investors to keep in mind. Specifically, there's been a lot of internal discussion around moving from simply building infrastructure for AI, to actually building infrastructure with AI. How are you thinking about that evolution? And why is it strategically important for us over the long term?
Asher Genoot: Yes. We're sequencing the business pretty deliberately. And the next layer of our advantage is technological convergence. So Phase 1, which is about 1 to 2 years in my mind, is lock in the right deals, establish durable counterparties, build the right financing framework and monetize our power capabilities. Phase 2 in the 2- to 5-year range is value engineering the infrastructure stack, driving cost down per megawatt, improving speed, efficiency and repeatability. And then Phase 3 is more in the 5- to 10-year range, which is be at the forefront of how AI and robotics reshape infrastructure development. We're not just building infrastructure for AI, we have to be building infrastructure with AI and leveraging it to change in how we think about charging our innovation cycles. So we're deeply thinking about how AI integrates into our business. From a workforce perspective, increasing productivity across the organization, and from a design and engineering perspective, I mean hundreds of thousands of engineering hours go into these builds. AI is going to fundamentally change the way that, that work can be done. We can model, simulate and optimize every variable for capital is deployed. And in the build process, we're in the early stages of exploring robotics and automation embedded directly into construction workflows. This is not a distraction. It's an awareness of where the technology curve is heading and we intend to meet it at the moment of real inflection when it meaningfully changes how infrastructure is built at scale, and that will be the next compounding layer of advantage after the first two, I've spoken about earlier in this call.
Suzanne Ennis: That's super exciting. So with that foundation set, 2026 shifts us from prove to scale, right? So what should investors look to from us moving forward?
Asher Genoot: 2026 is about execution and delivery, full stop. Converting the pipeline to additional contracted revenue, advancing power origination, delivering River Bend on time and on budget, maintaining capital discipline, no trend chasing. The foundation is built. Now we execute and we scale.
Suzanne Ennis: All right. Now let's move on to Sean. Sean. So let's walk through the results. Maybe we can start with what defined fiscal 2025 performance?
Sean Glennan: Yes. Thanks, Sue. I think there's 2 main things that really define fiscal 2025. First, I want to talk about margin expansion and operating leverage and second is bottom line results. On the first topic, revenue grew 45% to $235.1 million, driven primarily by our compute segment, while cost of revenue grew by 24% to $107.8 million. This resulted in gross margin expansion from 47% to 54%. I also want to highlight sequential Q4 2025 over Q4 2024 results where revenues grew by 179% and gross margin expanded from 36% to 60%. I think each of these data points highlights and is indicative of enhanced operating leverage in the business. In other words, the foundation is sound and what we've set in place will compound over time. Next, moving to bottom line results. Net loss was $248 million, and we had an adjusted EBITDA loss of $135.4 million, compared to net income of $331.4 million and adjusted EBITDA of $555.7 million in 2024. importantly, I think to note, that swing was largely due to a $220 million primarily unrealized mark-to-market loss in 2025 of our Bitcoin stack versus a $509.3 million gain in the prior year.
Suzanne Ennis: Now let's walk through segment by segment. Can you walk us through the power digital infrastructure and then compute segment results?
Sean Glennan: Absolutely. In our power layer, revenue was $23.2 million versus $56.6 million in 2024. Cost of revenue declined to $20.5 million from $21.5 million in the year prior. The revenue decline reflects the termination of our ionic digital agreement in managed services. This was somewhat offset by increased revenues in our Far North segment due to increasing power market tightness, which I think that power market tightness is kind of some of the fundamental underpinnings of the business. So it's showing up in other places, too. On digital infrastructure, revenue was $9.6 million compared to $17.5 million last year. Cost of revenue declined to $8.9 million from $15.6 million last year, and margins improved sequentially as Vega entered commercialization, and we transitioned to colocation-based payments from American Bitcoin. And finally, compute. This was the real growth engine. Revenue more than doubled to $202.3 million from $80.7 million the year prior. Cost of revenue increased to $78.4 million from $45 million in the year prior. And this was driven by infrastructure upgrades, higher deployed hash rate and a full year of steady-state operations of Highrise AI, which added $7.4 million year-over-year. I think important to note also from -- as we talk about operating leverage, here, segment margins expanded from 44% to 61%.
Suzanne Ennis: Now let's get into capital structure and strategy. How are we thinking about our capital structure evolution?
Sean Glennan: Yes. I think 2025 was an incredibly important year for capital structure evolution. Spinning out our Bitcoin mining business through our American Bitcoin subsidiary, shifted us from a very high cost of capital, high CapEx cyclicality business to a much lower cost of capital business with a lot more focus on infrastructure, low cost of capital lower, risk and longer duration.
Suzanne Ennis: Okay. And then heading into 2026, what are some of your top financing priorities?
Sean Glennan: Yes. I think about this is what I spend most of my days thinking about. And as I think about looking into 2026, there's four main things I'm really focused on. One is protecting shareholder value through disciplined equity use. Two is minimizing enterprise risk; three, diversifying liquidity sources, including private markets; and then four, maintaining strong balance sheet that allows for strategic flexibility and a path towards an investment-grade rating. I think one thing that's important to note is we continue to evaluate all financing options and we say no to a lot of things. We're not just trying to get capital wherever it's available. We're looking for the lowest cost of capital. And I probably got 10 things across my desk every day, most of which I say no to because we want to continue to drive that and be innovators on capital structure rather than just following the back.
Suzanne Ennis: So then, to wrap up, how would you, as the CFO, summarize our position heading into 2026?
Sean Glennan: Yes. So I mean, it's amazing to think relative to when I joined 1.5 years ago where we are entering 2026. We have greater scale, both from an exahash market cap and future cash flow position. We have improved margin durability, which I think the numbers speak for themselves. We're declining cost of capital. And I think the project financing we're working on with JPMorgan and Goldman Sachs is indicative of that. That's the lowest cost of capital that anyone in our sector has raised ready to support AI infrastructure growth to date. And then I think as I kind of mentioned in your first question in the section, a capital structure that's aligned with long-term value creation. And I think those are the things that are really kind of setting us apart, and it's very exciting to be in this position, and we feel grateful to our shareholders for entrusting us with their capital as we go into 2026. So with that, I think we'll go into Q&A.
Suzanne Ennis: Yes. Let's go into the Q&A here.
Asher Genoot: Well, Sue, looks at some of the questions, we want to shake things up this earnings a little bit, go on a video style, so we'll get feedback from our investors if they enjoy today or not. We're also if we keep the video format, we'll -- I want to be able to hear people when they ask questions, and we talked a bit about that. And as we set-up this first structure, Sue is going to kind of read the answers that people are submitting, we weren't able to with the platform today to be able to allow for that for today. But if people like this current format, then I really want to hear them and see them if possible as well. So we'll look at that on the next earnings calls. But hopefully, you guys enjoy the new shake up here and approaching this from first-principles as well. Our goal was to use this call to have you to really get to know us, get to know how we think about the world, how we think about problem solving. You guys can look at our financials and our business through our public filings, but the purpose of this call, when we really broke it down from first principles, was speaking to our shareholders in very direct honest, transparent way, and we hope this new format helps drive closer to that as well.
Suzanne Ennis: Okay. So let's get into it. So from Greg Miller at Citizens, will the company be defining what portion of its pipeline will be allocated to Bitcoin mining and what percentage will be allocated to HPC as the 2 represent very different value propositions?
Asher Genoot: That's very fair. If we look at our existing capacity under management in the gigawatt that we're managing today, we have 300 megawatts of power generation that we've told the markets that we're selling to TransAlta, and we have -- that we've closed on that transaction, and we have 700 megawatts of compute that currently support American Bitcoin. In our capacity under construction, we have 330 megawatts of utility that's River Bend Phase 1. And then we have a multi-gigawatt pipeline as you go further and further up the development cycle. And so currently, the core focus is converting those sites for AI use cases. Having Bitcoin as an alternative use case, allows us to continue to develop confidently in building the substations on the land that we acquire in interconnections knowing that we'll have a consumer there in all scenarios rather than just have risk development capital. And I think that's a unique edge that we have. So our key focus around our current full development pipeline is around AI utilization and development, and we're seeing more and more focus on just power at scale and location really being a lower and lower factor in that as well. And so as we talk about all of the sites that we're developing right now, the primary goal is development around traditional data centers for AI computing.
Suzanne Ennis: Okay. So George Sutton from Craig-Hallum, can you give any detail behind the $163 million deposit for future sites?
Asher Genoot: Yes. Sean, do you want to jump into that?
Sean Glennan: Sure. So as we look at kind of developing some of the future sites, we have lots of land options, and we're also procuring long lead time equipment at some of these sites. So I don't want to get into the detail as to how much dollars are for which sites. I think that will give away some of our secret sauce, very competitive industry, but effectively, that's kind of what the -- those dollars are allocated towards.
Asher Genoot: And one key thing to know on how we approach development, historically, and moving forward, when we think about risk dollars out there, whether it be land options or they'd be developing, we've historically been very, very low upfront until there's real feasibility, right? So a big portion of those long lead time items are malleable pieces of equipment that we can allocate specifically around high to medium voltage breakers at the substation, different transformers once we set things down to 34.5 kV. And so malleable infrastructure that we can allocate across multiple campuses. And then the investments we do at the early stage of development are really lower in terms of development, unless it's a kayak payment or an infrastructure upgrade as we locked in the power. And as we see collateral payments kind of increasing, we're also looking at other kind of project level financing and balance sheet borrowing that we're looking at doing to drive down our cost of capital as well, but we're very, very thoughtful in what dollars we're spending, what's truly at risk and what's malleable.
Suzanne Ennis: All right. So from Brett at Cantor, you guys effectively set the market with your Fluidstack and Anthropic deal. Can you talk about how pricing has changed since then? Do you think the next deal will see a step-up in economics?
Asher Genoot: I don't think we set the market. I think the majority of transactions in the market happened in the private markets. Everyone is kind of focusing on the public companies, but feels like 80% plus of the transactions are happening in the private markets with kind of the private equity funded development platforms on the data center side. And so I think our deal was market. It was middle of the fairway, and it was structured appropriately. And so as we continue to talk to customers about the deal and deal economics, we think that these are kind of market terms in the private markets, and we've held ourselves to the standard of a blue-chip data center development company. I think, I've brought in the partners to validate that thought process and that approach as well.
Suzanne Ennis: Okay. So from Stephen Glagola at KBW, a recent job posting pointed to a potential scale up of the Highrise AI GPU platform from roughly 1,000 GPUs to 20,000 GPUs. Can you provide more detail on your growth plans for the Highrise AI cloud business? And how do you envision scaling that trajectory.
Asher Genoot: So Hut 8, the parent company builds in the power layer and build in the digital infrastructure layer, front meter, behind-the-meter interconnects, obviously, we own power generation, and we build digital infrastructure on top of that, i.e., the River Bend campus we announced. In a lot of these deals, there's an opportunity where we can fund the compute as well. The funding compute and ASICs on the American Bitcoin side GPUs on the AI side are fundamentally different cost and risk profiles, which is why those businesses are separate companies, ABTC, being a public company now on its own and then Highrise still being a private company that is growing. And so what's really unique about Highrise, we've been pretty quiet about it because we've been building the foundation of that business. It's not just the story is and we're managing a little over 1,100 GPUs, the story is we built a cloud network. We built a software stack. We offer bare metals. We offer multi-tenant solutions. And we announced this in one of our press releases in Highrise, but the current CTO of that business ran AI in the IDF and was there for a decade and half. And so as we look at different opportunities, there are opportunities in these data center deals where Highrise can come in and provide the financing around the GPU stack, provide the services and technologies that I can build on top of the chip stack as well. And so Highrise is our new cloud business. It's one that we haven't spoken much about because as everyone knows, we're much more about talking about things when they come into fruition rather than what's on the come. But across the whole board, we are building the company and hiring people to the place that we're going, and that's where you see a lot of that investment in talent into the business that we're going to be building and scaling into.
Suzanne Ennis: Okay, so another one from George here that I really like because I don't think we talk enough about this in the market. So Anthropic is the major -- is a mega disruptor in the space. How important is our existing relationship with them as part of the Phase II and Phase III opportunities?
Asher Genoot: They're great, right? And they're very open to thinking about things from a first principles approach. It's not a company where we have to do it this way just because. It's a company where we can talk about what are we trying to solve for and what is the best way to be able to solve for that. So if you think about Phase 1, give additional capacity, get additional power converted for our customers. Phase 2 is how do we drive down costs with really thinking about value engineering. And value engineering is 2 ways. One is, how do we engineer and more efficiently drive the cost down for our existing infrastructure stack. The second is, how do we think about the actual demands that a customer has, which is also why we have Highrise to understand the full stack from electron to compute, from megawatt to token. And so by understanding that, we can more optimize the infrastructure to support for really what's needed, and we can have open discussions and discussions with Anthropic have been great in terms of solutions and malleability over how things are built to get to the final outcome. And the last one in terms of AI and robotics, obviously, that they're at the forefront of building the technologies that support all industries. And so we're excited to continue to build those relations and compound, but I'm really, really excited for Phase III. We have to build Phase 1 and 2 to have the privilege for me to work on Phase III, but this year will be focused on Phase I and really scaling up our data center platform.
Suzanne Ennis: So I've got one here from Kevin Dede at H.C. Wainwright. Trump in his State of the Union last night asked the big tech -- asked big tech to commit to building their own power. How do you think your customers, partners and Hut 8 react -- will react to that should it become law?
Asher Genoot: It's a natural progression of where things are going. If we think about the overall sentiment and what should happen right now is when a data center is built that should be net positive to the community and the environment and the actual energy grids that you're impacting, right? And so when we think about sites like River Bend or Corpus Christi, we pay for the system upgrades that pull the power to where we are. We commit to the capacity on the energy side. And so that's kind of table stakes in my mind in the world that we're developing today and smaller utilities have gotten infinitely more sophisticated on that which is or to see kind of collateral coming in. I think in some places, it's getting overindexed and will kind of come back to the mean. But in general, that's the general sentiment. As power generation gets constrained as more and more demand comes on to the grid, I think what you'll see more often is not island generation or bridge generation, where you kind of wait for the interconnect, but when you're building a load asset, you want the redundancy from the grid. There is value in that. When building a generation asset, you want the grid and the demand that's in the grid for the power. And so I think more and more what will happen in the markets, is people will bring load and people will bring generation. And so we're trying to kind of have a net equal impact into the grid, but interconnect that all in the long term. And so then you'll have power generation increasing in the grid, you have load increasing. A lot of that will be financed and capitalized through the demand of the end customers and users and we think that's the best way to be able to scale and compete in the AI race on the global markets.
Suzanne Ennis: So from John Todaro at Needham, can you walk us through where you stand on the OSA negotiations with Fluidstack and more broadly, give us an update on construction cadence. How many data falls in the initial phase? And are you seeing any supply chain or contractor bottlenecks? Maybe we can talk about where we're at as well on the procurement side at River Bend.
Asher Genoot: Sure. Happy to do so. When we announced the deal, everything we locked in from people, contractors, long lead time items, equipment. And so all of that was locked in. There was nothing open when we announced the deal at the end of last year. On the delivery and the execution itself, as we mentioned, and we guided towards. When in the beginning of Q2, we'll have the first data center coming online, and then we'll have a data center coming online every 60 days thereafter. There are 4 data centers in this data hall. And so as we think about the actual construction right now, everything is going really, really well. People are very excited. There's a lot of local talent in Louisiana because of the heavy industry that was there before. And so that's really, really great. Jacobs has been a great partner. Vertiv is fully cranking on the long lead time items that they're bringing and procuring for this project. So overall, from a constructability and delivery perspective, feel very, very good. And we gave ourselves a healthy time line to deliver this as well. And so we're not crunching every single thing. We put buffer in. We hope to deliver earlier if we can. And so that's how we've really developed this program. From a financing perspective, things are going very well as well. We announced that we're going to target 75% -- 85% LTC at a SOFR plus 225 rate. We've recently been able to improve that to 90% LTC at SOFR plus 240 to account for the increased loan-to-cost ratio. But we've been able to get more project financing on the projects and something that Sean and I like to talk about, even when a deal is done, we still like to further improve and figure out how to make it better. And so overall, in terms of delivery, feeling very, very good. We're currently in active negotiations on the OSA in terms of operations and delivery, but we have some time until we actually are operating in the campus so working through those kind of contracts now as well?
Suzanne Ennis: So maybe just to quickly piggyback on that from one of our new friends, Robert Boucai at Newbrook. In considering future deals, do you require credit enhancements as with Google on the Fluidstack deal? Or would you be willing to have one of the LLMs be a counterparty? How much of a gating issue would this be?
Asher Genoot: I think overall, it's really thinking about our overall platform that we're building and the exposure that we're taking on investment-grade counterparties on non-investment-grade counterparties and really everything kind of in between. And so as we think about developing our platform, we want to make sure that the cash flows that we have and that we're projecting to be able to fund the growth and the expansion of our business are durable and are reliable. And obviously, that affects cost of capital and financing and LTCs as well. And so as we look at future growth opportunities, we're obviously optimizing towards investment-grade counterparties, but it's really about, like any portfolio anyone has including all the shareholders on this call, it's about risk allocation, what percentage of your platform is on high growth, high-risk companies that have kind of a ton of upside. What percentage is on stability on the platform as well. And so I think for us, it's not binary. It has to be this or that, but it's around risk allocation. And obviously, as we've kind of told and shown in the market, we have a heavy lenience towards folks with investment-grade counterparty and as we think about financing on the debt and the equity investments as well, but there's always a place in the portfolio for high-growth companies as well, but it's all about percentage exposure that we have to them. And every time we announce a deal, we'll walk through the thought processes in those. But right now, we continue to be focused on investment-grade counterparties that we're financing towards.
Suzanne Ennis: Okay. So a question from Mike Grondahl at Northland. Can you describe the demand environment and how it's evolved over the last 90 days for HPC? Obviously, there's a few new dynamics that have transpired in the market. So how has that evolved in terms of your guys' customer conversations?
Asher Genoot: It's really interesting. I mean, last year on the same time, this DeepSeek news came out, right? And everyone was scared that the demand has gone and the markets were scared. The Microsoft has traded down a lot. But the reality is at that time, we were still seeing the demand and demand signals. And you saw a heavy uptake towards the end of the year. I think right now, especially with the Agentic AI and a lot of -- I mean, the Mac Minis are sold out across the U.S. If we look at Highrise, the utilization on our cloud is at record highs. And so the actual applications and use cases are continuing to grow and increase in pickup. I think that will result in the compute that's needed. And so where we are today is also a little bit different than where we were last year. We have much deeper relationships with a variety of counterparties because of the last two years of relations that we built. We've gone through a lot of negotiations on the actual contracting multiple counterparties. We've gone through engineering design drawings for months with multiple counterparties. River Bend wasn't one counterparty that we worked with for 1.5 years. We went through multiple iterations with multiple counterparties, and we had one that got to finish line first. And so those relationships are stronger than ever. And what's nice from where we are today and the credibility that we have as well is, we can have a lot more frank and meaningful discussions around, what is their capacity demand over the long term? How do we play into that? How do we support them? And so for us, honestly paying less attention to the stock market these days and spending way more time on the customers, what are their demands and how do we build the competitive moats, because that is what's going to drive our business and grow and compound over time. But I think all the noise you're seeing, we're seeing really the exact opposite. The demand is still there, demand is still strong, people are still growing. You see that with some of the announcements like yesterday with Meta and AMD in terms of additional capacity. They just announced a deal with NVIDIA for that. And so overall, I think demand is healthy. A bigger theme that we're seeing that's real is that power is becoming more constrained, right? You're seeing every utility, every transmission operator trying to go through and restudy and change the approach that they're going in terms of the study. And I think that's healthy as well because you have so many developers that may not have the balance sheet or the capabilities to actually develop sites, and all they're trying to do is lock in an interconnect and then flip it to someone else to buy it. We get -- Sean talks about getting 10 inbounds on financings, probably get 100 inbounds on sites for us to look at from an M&A perspective. And so clearing out some of that FUD, I think we'll actually make the queues better. And then also from a development perspective in terms of land development, you're seeing some places that don't want this in their backyards and some places that do. And so I think you're seeing consistent strong demand on the demand side, and then I think you're seeing kind of volatility on the supply side in the markets, which make us excited.
Suzanne Ennis: Yes. Agree, we support any sort of initiative that helps trim some of the fat in these queues, and also education is key in some of these new markets where we're seeing stakeholder pushback for data center development. Okay. So from our friend, Greg Lewis at BTIG. He wants to know what I'm sure a lot of people want to know is any update on the power that is under exclusivity and steps and processes needed to move that into development? It doesn't seem like we saw a lot of that happen in the current queue.
Asher Genoot: Yes. Currently working through it, we obviously have a pretty big amount of capacity in development right now to trying to move that into commercializing and signing those agreements and signing them, because if you think about our stages in the pipeline, we go from capacity under diligence, which is we have a large energy origination development team, and they're out there, they're hunting, they're negotiating and they're looking at opportunities that make sense for us. Then we get into capacity under exclusivity. That's where we're investing more dollars from a team perspective and legal dollars perspective as well. In those scenarios, we have exclusivity, land options. We're investing into legal resources, preconstruction resources, high-voltage transmission engineering resources. And then when we get into capacity under development, that's when we're actually buying the land or locking in the kind of contractual agreements on the power and putting in the kayak payments or any collateral obligations. And then from there, we go into commercialization, construction and then ultimately, management and operations. And so I think we have a strong amount of megawatts over 1 gigawatt in capacity under development right now that we're working on commercializing and the capacity exclusivity will kind of be following that as well. And so if you think about timing, capacity and exclusivity, we have an exclusive access on that opportunity, whether it be the land, the power or both. And in that scenario, like why go and spend the money if you still have option value there and work on commercializing the things that you already spent money on. And so when you think about those and how they interplay together, that's kind of a big part of it. And so from a timing perspective, it's really getting more sites commercialized and having that funnel continue to grow and increasing the capacity under exclusivity from the capacity under diligence. And so as we continue within this year, there will be a lot more conversations about the pipeline, how we think about conversion, more transparency into the sites that we have under capacity under development as well. And so we're excited as we mentioned, we're building a robust energy infrastructure platform in the digital infrastructure world and River Bend, again, to remind everybody, was a site that started at capacity under diligence and went -- made it all the way through to capacity under construction within the last 2 years during the theme and during the market rush of power. This was not a site that we converted from the Bitcoin mining days when it was less competitive to get power. And so we've shown that we can do it once, and we will continue to do it.
Suzanne Ennis: Thank you. So from our friend, Chris Brendler at Rosenblatt Securities. On funding River Bend CapEx, any early read on the project level financing deal given the recent volatility in the market? And how do you view your Bitcoin holdings as a potential source of funding for the equity portion?
Asher Genoot: We feel very good. So the equity as of right now is already fully funded, because we've had to fund the projects, our deposits with Vertiv and so forth. So when the project financing actually completes, we're going to get a multi-hundred million dollar cash out of the transaction, then we'll fund our 10% on an ongoing basis. And so as we mentioned, we went from 85% LTC to 90% LTC on the financing. We're pushing aggressively towards closing. JPMorgan and Goldman are committed. They wouldn't have given us quotes and put us on the press release when we announced to see it was just an idea. And so we're very excited, we're very committed. And we have connectivity at the highest levels. I've had lunches with the CEOs of the firms. And so I'm very, very excited that we have partners, not only to finance this project, but on go-forward projects to replicate this program on a go forward. From a Bitcoin perspective, our balance sheet and our Bitcoin on the balance sheet in the beginning of last year was core to us executing on throughout last year. Being able to tell customers, don't worry about our ability to finance with this amount of Bitcoin on the balance sheet was really important. Where we are this year, Bitcoin on the balance sheet is not -- it doesn't -- it's not the focus. It doesn't matter. It's just like asset on our balance sheet. And so the reality is we're going to remove Bitcoin exposure on our balance sheet as we move forward. And how we do it is what we're focused on right now. And our exposure will be through the equity ownership that we have in American Bitcoin. And so the Bitcoin on the Hut 8 balance sheet is not going to be a thing that we continue to hold for the long term. And the beauty is we're able to hold that exposure through the equity that we were able to create in American Bitcoin for incubating and building that business. I think we're really good at creating value and our focus is how do we drive down cost of capital and continue to create value by building businesses and what we're excited for building Hut 8, building ABC, building Highrise. And so that's a big change in focus on kind of the importance of Bitcoin on our balance sheet and our perspective on it on a go-forward basis. But River Bend, currently, from an equity portion, we don't need any more equity funding. We've already funded the projects. We're actually getting cash back once the financing closes, and hopefully, we can talk about it in our upcoming earnings call.
Suzanne Ennis: Great. Okay. So let's talk about, we touched on this a little bit. But why don't we talk about, where is the -- I'm just trying to find where Brett was asking us a question. Okay. So it seems like co-locating generation on-site with data centers is going to be more prevalent. We did touch on this a little bit. What are we doing specifically to participate in this trend?
Asher Genoot: You're saying -- sorry, repeat colocation data centers, is that traditional colo you mean instead of single kind of campuses?
Suzanne Ennis: No single tenant campuses, yes.
Asher Genoot: Sorry, repeat the question.
Suzanne Ennis: It seems like co-locating generation, single-tenant campuses on site with -- yes, is going to be more from doing to participate in this trend.
Asher Genoot: So let's use River Bend, that's a perfect example. The Entergy Louisiana has given us a plan in terms of when they can deliver power, right? And we're talking about the full gigawatt and there -- they want to build generation added to their rate base, have us be able to make sure we commit to it, so they're not taking spec dollars at play here. We're having discussions around them of maybe we can bring the generation faster to the site to drive the full gigawatt at a faster time frame, right? We don't want to wait 5 years, what if we brought it in a lot earlier? And so as you think about the sequencing, what percentage of the gigawatt can we pull from the open markets in terms of capacity, and what percentage do we have to build that new generation, right? And so that's first, not -- the 4 gigawatt is not treated as the same. And so the discussions we're having is how do we think about bringing generation to this campus. We have a lot of land. We have the ability to scale to almost 3,000 acres. We have access to pipelines and the ability to generate and to produce. And so as I mentioned in earlier Q&A or in the actual fireside chat, bringing generation with load, we think is going to be a bigger part of the story, a bigger part of the development. And luckily, we have those capabilities in-house. We manage 4 natural gas power plants with Macquarie as a partner, and we not only manage those, that's another asset. Those were 4 assets that we bought out of bankruptcy. We turned around. We signed long-term offtake agreements with the utility in Ontario, and we sold them to TransAlta, which is a large utility in Canada. And so we have the expertise in-house. We're continuing to build and compound on the expertise we already have, but it's going to be a bigger and bigger part of the story. I don't think it's going to be around island generation. I think it's going to be around bridging and having load and generation interconnected to the grid at your campuses.
Suzanne Ennis: Okay. So we are coming up on the hour here. So we're going to do one more...
Asher Genoot: We have like 31 questions in the queue. So I think we'll reduce that number when we get people to come on stage with us next time.
Suzanne Ennis: That's right. So we talk a lot about the importance of our energy origination team of diversifying the pipeline of not being overweighted to a single market. Can you, and maybe, Sean, talk about some of the areas where we are still finding pockets of opportunity. For example, in a previous conference, we talked about how we were interested in studying a development in Pennsylvania. Maybe just talk a little bit about sort of some of the areas that we're looking at well outside of ERCOT.
Asher Genoot: We're looking across the whole U.S. Every single area in the U.S., as we mentioned, power and land in a regulatory environment that allows for building this infrastructure at scale are the key pieces in building, right? Fiber has been less of a bottleneck. We've been able to bring fiber to a lot of the campuses that we're developing and that we're building. And so it's following the power. It's taking a first principle approach to where is their power. Using River Bend as another example because I think it's our first fully kind of vetted case study, and we can do the same about future sites that we announced. But that project was around the transmission lines. That project was around the generation near that campus. Then we came together and we pieced multiple pieces of land that were held for generations as kind of hunting properties by people, and we built this 3,000 acre opportunity to go build a large-scale mega campus. And so we're looking at those similar characteristics as we look across the whole United States and we look at its ability to scale power, its ability to build with a friendly regulatory environment that wants this project there and see the impact and the benefit that we can bring, a place that we can have talent to actually execute and build these projects and do so with the speeds that we're looking to build them at. And so our team -- the reason why we're scaling is we're continuing to increase the breadth and the depth across our energy origination pipeline across the full United States. And there are some areas that are more complex than others, obviously, that aren't kind of traditional data center markets. And so we're kind of focusing on Tier 1, Tier 2 and Tier 3 markets. and there's a little bit of a different allocation of priority risk capital that we put on to each of them, based on our confidence level of commercializing them. In some sites, we know that we'll always have kind of another market through American Bitcoin has a demand of a captive consumer that we have with the power where the energy prices work. In other areas, we know that this is primarily built and there is no backup option for developing this campus. And so overall, we're excited. I think, we're one of the first to talk about our development pipeline and our energy pipeline because that was a core focus. And now we're 2 years into that journey. We've been able to take one project fully through the getting to almost near the end of the process. Now, we got to get it to capacity under management, but we'll start having more sites kind of coming through that pipeline. And it takes time to develop these projects and you're starting to see some of those come to fruition as they move down the pipeline as we start talking about them more.
Suzanne Ennis: Awesome. So...
Asher Genoot: More projects -- similar, I guess, to River Bend, we've had a lot more projects get into the press than we've shared with the markets because of all the local zoning and panels that we do. So you guys will see that as well if you keep your news alerts on Hut 8.
Suzanne Ennis: Okay. So we've got one minute left in this call. Maybe any closing thoughts, Sean and Asher that you want to leave our audience with.
Asher Genoot: I've talked a lot, Sean, why don't you close this out?
Sean Glennan: Yes. Happy to. Thanks, Asher. Look, I think Asher said a lot of it, but this is a year about execution, this is the year about growth and scaling the company. We're excited about the foundation we've built. Like when I started, I told Asher, I felt like where we are now is inevitable. And I feel like the growth of the company is inevitable. We put it together a really good development business, a really good funding mechanism, and we're looking to continue to repeat and compound that over time. So we're excited to have you along as shareholders. We hopefully do believe we've done you well so far, and we look forward to continuing to do so in the future.
Suzanne Ennis: Thanks, Sean. Okay. Operator, you can close the line. Thank you, everybody.